Operator: Good morning, and welcome to the First Quarter 2018 Byline Bancorp, Inc. Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Allyson Pooley, Financial Profiles. Please go ahead.
Allyson Pooley: Thank you, Debbie, Good morning, everyone, and thank you for joining us today for the Byline Bancorp first quarter 2018 earnings call. Joining us from Byline's management team are: Alberto Paracchini, President and Chief Executive Officer; Lindsay Corby, Chief Financial Officer; and Tim Hadro is Byline's Chief Credit Officer is also here and will participate in the Q&A. We will be using a slide presentation as part of our discussion this morning. If you have not done so already, please visit the Events and Presentations page of Byline's Investor Relations website to download a copy of the presentation. Alberto and Lindsay will discuss the first quarter results and then we'll open up the call for questions. Before we begin, we'd like to remind you that this conference call contains forward-looking statements with respect to the future performance and financial condition of the Byline Bancorp that involved risks and uncertainties. Various factors could cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. These factors are discussed in the company's SEC filings, which are available on the company's website. The company disclaims any obligation to update any forward-looking statements made during the call. Additionally, management may refer to non-GAAP measures, which are intended to supplement, but not substitute, for the most directly comparable GAAP measures. The press release available on the website contains the financial and other quantitative information to be discussed today, as well as the reconciliation of the GAAP to non-GAAP measures. And with that, I'd like to turn the call over to Alberto.
Alberto Paracchini: Thank you, Allyson, and good morning to everyone on the call. As we normally do, I'll start by providing you with the highlights for the quarter and pass the call over to Lindsay for more detail on our financial results. Now turning over to slide three on the deck. Our first quarter results reflect solid growth in net interest income with our interest margin expanding nicely, both, including and excluding the effects of accretion income. This is offset by higher credit costs primarily related to a single isolated commercial relationship that went into nonperforming status during the quarter. Overall, net income for the quarter came in at $6.8 million or $0.22 per diluted share. This figure includes both approximately $123,000 in merger related charges and the higher provision expense related to the commercial credit, I just mentioned. Pre-tax pre-provision ROA came in at 159 basis points in the quarter, which is a bit lower than Q4, but flat on a year-over-year basis. Loan and lease originations were $87.3 million, which is lower than last quarter, but consistent with software activity levels we typically experience during the early part of the year. Our originated portfolios stood at $1.6 billion at the end of the quarter, which represents an increase of $45 million or 11.5% and was primarily due to strong growth in our C&I and construction portfolios. Within the C&I portfolio, we had particularly strong quarter from our sponsor finance and government-guaranteed lending teams. The growth in our originated book was offset by payoffs coming from our acquired portfolio, which declined by $42 million during the quarter. We saw approximately half of the payoffs, from government-guaranteed portfolio, which reflects both refinancing activity as borrowers take advantage of a lower rate conventional financing, and just simply be outright sale of a business or assets. Moving on to revenues, spread revenue increased nicely for the quarter stemming from a 19 basis point increase in our net interest margin, driven by both higher yields and a higher level of learning assets. Deposit funding remains stable, overall, and interest-bearing funding costs remain in check rising by 11 basis points for the quarter. Competition for deposits increased from last quarter and we anticipate that to continue as customers become more sensitive to rate levels and banks manage to their targeted loan-to-deposit ratio. We expect to see deposit betas move higher depending on the product, along with overall deposit cost consistent with increases in short-term rate. Noninterest income was down from the prior quarter, primarily, due to lower gain on sales loans reflecting a lower volume of loans sold for the quarter. Loan sale activity and margins fluctuate during the course of the year, with loans sold generally tracking rising origination levels and margins impacted by the mix of loans sold. That said, production levels in our government-guaranteed business was solid during the quarter, showing strong double-digit growth on a year-over-year basis. As stated earlier, asset quality for the quarter was impacted by a single commercial loan that we downgraded to nonperforming status. We had been closely monitoring the credit and were encouraged by the company's ability to raise capital last fall. Notwithstanding during the first quarter of 2018, financial performance deteriorated to the point where the business needed to be substantially restructured. Based on these developments, we determined the amount of improvement required provision and charged off accordingly in order to write down the value of the loan to the level we expect to collect. Due largely to this one credit, we saw an increase in our nonperforming loans charge-offs and provision expense for the quarter. The remaining increase in NPLs was primarily driven by one government-guaranteed loan. With respect to branch consolidations, as you may recall, we did a major branch consolidation back in 2015 and 2016. And since that time, we continue to actively evaluate the performance of our branches given changing consumer behavior and preferences, in order to make informed decisions about our footprint. Based on our analysis, we identified six locations and two drive-up facilities that we felt could be consolidated with minimal impact to customers, service levels, and overall convenience. Consolidation is expected to result in approximately $1.4 million in one-time charges, and $2 million in annual cost sales. We anticipate that over time, we will redeploy those savings back into the business and both infrastructure spend and on growth initiatives. We expect the majority of the charges to occur in the second quarter. Completing the acquisition of the First Evanston and ensuring a smooth transition for our customers and colleagues remains a top priority for 2018. To that end, we have received all required regulatory and stockholder approvals and expect a transaction to close by the end of May. Strategically, this is an important transaction for us, with benefits that we shared previously. And we're very much looking forward to completing the first part shortly. With that, I would like to pass on the call to Lindsay to cover the financials in more detail.
Lindsay Corby: Thanks, Alberto. I'll start on slide four with a review of our loan and lease portfolio. Our total loans and leases were $2.3 billion at March 31, an increase of $2.9 million from the end of the prior quarter. Our originated loan portfolio increased approximately $45 million for the strongest coming in our C&I construction portfolios. This was partially offset by a $28 million decline in our originated CRE portfolio. On a year-over-year basis, our originated portfolio increased by $303 million, or 23%. As Alberto discussed, the overall growth in the loan portfolio was impacted by elevated payout. Total payoff in the quarter were approximately $100 million up from $74 million, we had last quarter. Moving on to deposits. On slide five, our total deposits increased $81 million from the end of the prior quarter, with most of the increase coming in our money market and time deposits. The increase in money market was primarily due to variability and a public deposit relationships, which we rebuilt - it balances with us at the end of the last quarter. Our overall cost of deposit increased six basis points from the prior quarter. This was driven by an eight basis point increase in our cost of interest-bearing deposits due to higher promotional rate and CDs, and an overall increase in core deposit rate. Moving to slide six, I'll discuss our net interest income and an expansion of our margin. Our net interest income increased by $1.5 million to $33.7 million. The increase was largely driven by higher average loan balances, and higher average loan yield. Our net interest margin increased 19 basis point to 4.45% or 18 basis points when you exclude the accretion income. Although, we saw an increase in our deposit cost, the impact of repricing in our loan portfolio and higher average yields and loans and leases drove the expansion in our margin. Assuming the site [ph] continues to raise interest rates we would expect to see slight continuation of the expansion in loan and lease yields. Although, as previously mentioned, we anticipate seeing continued upward pressure on our funding cost. Turning to slide seven, in our noninterest income. Compared to the prior quarter, our noninterest income decreased by $1.2 million, the decrease was due to a number of factors. We had $1.6 million of a decrease in our net gains on loan sales due to a lower volume of loans sold. The average premium on the loan sales, however, held relatively steady quarter-over-quarter. We had a decrease of $280,000 in ATM and interchange fees, primarily due to changes in our fee assessment [ph]. We also had a decrease of $141,000 and net servicing fees, primarily due to the change in the fair value of the servicing asset, as a result of increases in prepayment fees on government-guaranteed loan. These decreases were partially offset by an increase in other income, primarily due to variations in gains on sales of assets from quarter-to-quarter. Moving to slide eight. Let's look at our noninterest expense. Our first quarter noninterest expense included a $123,000 and merger-related expenses for the First Evanston transaction, down from the $1.3 million expenses from last quarter. Outside of these items three other significant variations serve higher comfort levels during the quarter. Our salaries and employee benefits increased by $1.2 million, due to the seasonal increases, as a result of higher payroll taxes, benefit costs, merits and organizational growth. We had $429,000 of a decline and gains in OREO sales and other related expenses due to a decrease in the number of sales during the quarter. And our other noninterest expense increased $387,000, primarily due to an increase of $223,000 in our provision for unfunded commitment. As Alberto mentioned, we are consolidating eight locations during the second quarter. We recorded approximately $100,000 of the expenses related to these consolidations during the first quarter, and we will report approximately $1.3 million of expenses during the second. Our efficiency ratio bumped up to the 69% this quarter, primarily due to the seasonal impact of lower revenue from our gain on sale of SBA loans and higher salaries and benefits expense. Over the longer term, we believe we will continue to see an improvement in our efficiency ratio particularly, after we realize the synergies from the First Evanston transaction. Turning to slide nine, we will take a look at asset quality. Our nonperforming loans increased to 1.08% of the total loans and leases at the end of the first quarter, primarily due to the one commercial credit we discussed earlier. The remaining inflow into NPLs this quarter, primarily related to one government-guaranteed loan where the guaranteed portion is not sold and represent approximately $3.3 million. In general, the workout process for problem loan, problem government-guaranteed loans, where the guaranteed portion has not been sold can be elongated, which at times will cause the inflows to NPLs to exceed the rate outflow as the loans are resolved. And while loss rates on the government-guaranteed loans will generally be higher than the rest of our portfolio. They also carry higher yield, which makes them attractive on a risk-adjusted basis. Our net charge offs were $4.2 million or 75 basis points of average loans and leases for the quarter. Charge offs were primarily related to one commercial relationship in the unguaranteed portion of SBA loan. Provision expense for the first quarter was $5.1 million, the first quarter provision, included allocations of $3.7 million for originated loans and leases, $1 million for acquired non-impaired loans and $451,000 for acquired impaired loans. The largest component of the allocation for originated loans and leases was the addition to the specific reserves held against the commercial relationships discussed earlier. Our allowance for loan and lease losses to total loans increased to 77 basis points at March 31. In addition to the traditional allowance as a percent of loan and lease metrics, we also analyzed the allowance in conjunction with the acquisition accounting adjustment impacting the acquired portfolio. At March 31, the acquisition accounting adjustment plus the allowance for loan and lease losses, represented a 198 basis points of total loans and leases. With that, I would like to pass the call back over to Alberto for closing remarks.
Alberto Paracchini: Thank you, Lindsay. In summary, without a busy start for the quarter, but we remain positive on the environment and on our strategy. Five points remain solid, and we're looking forward during welcoming new clients and colleagues from the First Evanston transaction. With respect to M&A, we remain constructive on the market, and continue to be interested in completing a transaction that fits our criteria. With that, operator, I'd like to open the floor or the call up for questions.
Operator: [Operator Instructions] The first question comes from Michael Perito with KBW.
Michael Perito: Hey, good morning, everybody.
Alberto Paracchini: Good morning, Mike.
Michael Perito: I have two questions, while we discussed on the expense side. So I guess just, we obviously, this is I was excluding First Evanston, which will now add, but if we think about where you guys are $31.8 million or so [indiscernible] expenses in the quarter, I mean, it's fair, I guess, Lindsay, it sounded like in your prepared remarks kind of just shuffle, three it out, but just maybe like 400,000 or 500,000 of maybe seasonally heavier than normal expenses, and that just $132 million run rate it that fair? Or is there - or is that really encompassing everything that's normalized?
Lindsay Corby: I think that's pretty fair. I think that the salaries and benefits was the area that was - that you talked in seasonality. I also think different seasonality Mike in the occupancy line, given them on the snow fall we had here in Chicago over the first quarter. So those are the two biggest clients that have some variability in there, other than that, I think you're assessments pretty fair.
Michael Perito: Okay. So that brings you kind of down just $231.5 million, and then what's the timing, I guess two part question. One, what's the timing of the initial cost sales on the branch closures? And then secondly, what's the timing of though - perhaps being reinvested over time and this is something were kind of 500,000 comes out of quarterly run rate, and then that kind of slowly drips - flows away over the next one to two years. Or is it longer than? Any help you can give there will be helpful.
Alberto Paracchini: Yes, I will start and I'm sure Lindsay can get much more specific. But, I think Mike, this stuff is usually, it's a little hard in the sense that statically, I think you're absolutely, right. So obviously, you have the charge and then you have the cost sales. And in the ideal scenario, we can tell you, okay, on an annual basis, we're going to utilize acts and may be the rest will fall into the bottom line. It's a little hard this year, because obviously, with the First Evanston going on, and we are really, really focused on that. So the question, we may see benefits flow, and then over time, we will reinvest it, so I'm kind of thinking it more as over time what we'd like to do with that, is be able to pull it back into the business. But it's not, we don't have things that immediately we are going to spend on. And for you will see probably a benefit here on the run rate. And then over time, we'd like to utilize that benefit to pull it back into the business. I don't know if you want to add.
Lindsay Corby: Mike, it lags a little bit, so it's not, as we close at the end of the quarter, it's not like you are going to start seeing an immediately from July, right? So there is a little bit of a lag, so I'd say given about a quarter, and then you will start seeing it flow through. And then again, we will continue to reinvest in our infrastructure. And some of the money back to work. But you'll start seeing from savings come through in the fourth quarter.
Michael Perito: Okay. Helpful. Thanks, guys. And then just a quick one on the loan side. The pipeline sounds like it's still fairly strong. I guess what's the paydown activity in the first quarter in line with what you were expecting. Or is there, should we be thinking that maybe paydown's could perhaps get little accelerated this year, given what you saw in the first quarter or what you see in the pipeline?
Alberto Paracchini: So they were, I mean I'm trying to think at the last same period last year, they were lower than they…
Lindsay Corby: They are right about the same, a little bit higher.
Alberto Paracchini: From last year? Okay. I think two things, Mike on that, I think and you can - and we are starting to provide, I think trying to get you guys to see clear in terms of clarity, in terms of where the paydown activity is largely concentrated, and you can see it is coming primarily from the acquired portfolios. Obviously, as those balances come down in terms of in dollar terms, paydown activity just simply by math is going to decline as those balances continue to decline. Obviously, we have a portfolio that's growing, at some point, we're going to see higher paydown activity from that portfolio. But I don't know that there is anything in particular, at this point in time, in terms of visibility that would point to us expecting higher than, then what we've seen I mean. If I look to last year, the first two quarters were higher than the rest of the year. And, but I don't know - I don't know that I could point to anything right now. That would lead us to think that paydowns are going to be call it materially higher than what we've seen so far.
Michael Perito: Okay. And then lastly, I just want to spend some time on the commercial relationship. I was wondering I guess first, can you just maybe provide us the overall size of that relationship and what industry is there?
Alberto Paracchini: Yes, Mike, one thing, and we'll give you as much detail as we can. One thing that we are sensitive to, it's an active restructuring and we have written down the credit to a level where that reflects the restructuring terms. So we want to be sensitive in terms of names or providing very, very specific information on the credit. What we can share with you it's - a single loan relationship here in Chicago on our C&I book. In terms of kind of the business segment or the industry, I would categorize it as health and wellness. And this is a situation of the loan, I think we did early on in 2016, where the company was looking to how the growth plan, they were looking to expand the size of their operation. And I think the end result here was the expansion plan was not successful, which necessitated for the company to be restructured, we were encouraged last fall in the sense that the company was able to raise capital, fresh capital. But earlier on this year, we certainly, the company concluded that - that was not going to be an enough, and therefore, the business is needed to be restructured. Tim, I don't know if you want to add to that.
Timothy Hadro: I'd only add that a new management team is in place, and we are working constructively with the new management team as we try to implement the revised capital plan and restructure program.
Michael Perito: All right. Can you give us the size of the credit?
Alberto Paracchini: The size of the credit, just overall was $6.7 million.
Michael Perito: What's the average commercial loan size [indiscernible] give or take?
Timothy Hadro: We look at two ways. The legacy portfolio was consisted of much smaller loans in general. That medium loan size was 400,000 to 500,000 in our newly originated portfolio in the business we've done, since 2013, it is in the approximately $4 million to $6 million range. It varies from the line of business. The SBA loans tend the medium loan size will be smaller, I'm talking about the conventional commercial loan business.
Alberto Paracchini: Yes, Mike, and that's what Tim added there. That's aggregate credit exposure not just individual loan size right you have facilities that have multiple loans for the same borrower.
Michael Perito: Okay. And your average commercial relationship is as explained on your originated.
Alberto Paracchini: I'm sorry, we couldn't hear you very well, could you repeat?
Michael Perito: I said, is there a way to interpret what you have actually disclosed the average total commercial relationship and your newly originated commercial book is about $4 million to $6 million, but that could include multiple loans depending on each situation?
Alberto Paracchini: That's correct.
Michael Perito: Okay. Great. I appreciate all the color, guys. Thank you very much.
Alberto Paracchini: Thank you.
Operator: The next question comes from Ebrahim Poonawala from Bank of America Merrill Lynch.
Ebrahim Poonawala: Good morning, guys.
Alberto Paracchini: Hi, Ebi. Good morning.
Ebrahim Poonawala: So just a question Alberto, on this loan you mentioned this was something it was done early 2016, was the implication there that you've changed how you perceive credits like this today from your underwriting standards and you may not have made this loan? Or I'm just wondering - if I guess to handicap the risk of more one-off instances like this. Would love any thoughts around whether your underwriting standards today are little different versus early 2016? Or this was such a big anomaly relative to other stuff that you underwrite on the C&I side?
Alberto Paracchini: I think, I don't know EBI, the I don't know that, I don't that I would say that our standards are were loose or back then or different, I think our standards have remained consistent. I think this is one of those things where it's a single credit with very much company-specific factors, impacting it. So when I look across the board. Obviously, on C&I, it's company-specific every company is unique in some way. So I don't know that I would generalize to your comment though, their EB that I would generalize that this is not a credit. I think we would've underwritten the credit based on the information and based on the plans and the projections that the company made. And I think in this case, this is just a situation where that growth plan just was not successful and just a business could not, was not able to execute the strategy that they wanted to pursue.
Ebrahim Poonawala: Understood. Just want to clarify that in terms of adjusting in terms of the risk of more such one-offs happening, doesn't sound like that you feel that way right now. And in terms of - thanks for the color on the loan payoffs, I think, if I go back to my notes we expected to sort of high single-digits to mid double-digit kind of loan growth low to mid- double-digit is that still the expectation? Or do you expect loan growth to be lower on an annual basis given what you are seeing on the payoff side.
Lindsay Corby: So, EBI, we expected to similarly to last year. The stronger production comes as we move throughout the year. So I don't think much has changed in terms of that, that guidance there. But we are obviously focused on the First Evanston transaction to close. So that's been a big focus for, what I do think that the trends that we are seeing would last year with the stronger part coming in the second half.
Ebrahim Poonawala: Understood, what does that mean for in terms of just net loan growth. And I know, it could move around, but I'm just trying to understand should we expect 8% to 10%, 12% to 14% just in terms of conservatively how you would think about net loan growth?
Alberto Paracchini: I think what you said is a reasonable expectation EP. Very high single-digit to kind of low double-digit. I think that's fair.
Ebrahim Poonawala: Understood. And just one last question like, if we can talk about in terms of deposit growth environment. We heard some competition from some of the larger banks or foreign banks in that market. So if you could talk to your ability to organically grow deposits and duff tail your outlook for the margin relative to the 4 45 reported for the quarter?
Alberto Paracchini: So I'll take the first part of question, and then Lindsay will jump for the second part. I think we're competing effectively, and I feel pretty good about our ability to raise deposits. I think as you have as you know, and as we've talked in the past, we had a unique circumstance and that we were coming from having very, very low loan-to-deposit ratios. To now being more within kind of the targeted range that we want to be at. So now we obviously, in order to continue to grow, our balance sheet and do it relying on deposits. Obviously, we need to see deposit growth consistent deposit growth going forward. I see no reason why that could not be the case. And in fact, I think we are, what I would say we're competing and we're competing well in the market today. Clearly, obviously, it's the competitive environment today is very different than it was, I would say a year and a half ago. We started seeing the dynamics in terms of the market changing, very much by, as early as May or June of last year, and certainly, that has continued to be I, think very evident in terms of the amount of marketing, kind of product promotions et cetera that we're seeing here in the market from all players, local, as well as some of the regional banks that have branches here in Chicago. So in terms of the margin and the impact that we see there, Lindsay you want to.
Lindsay Corby: Sure, I think that with the margin we are going to see increasing pressure on the cost of funds by of the NIM. So I think we really benefit, we've been really happy with what we've seen in terms of the asset yields and the pickup we've been getting with the rising rate. I think we saw some increase this quarter and I think it's' going to continue to put pressure on the NIM going forward.
Ebrahim Poonawala: So what would be your expectation if you had to quantify in the margin assuming that we do get a couple more rate hikes relative to 445 in 1Q, is it flat given considering all the fact? Or do you expect 1Q to be the high-end of margin trends lower from here?
Lindsay Corby: I think, I think, this was a very good margin that we got this quarter. I don't anticipate seeing what we did this quarter, next quarter. I think we had some really nice pick up, but its hard Ebi on a GAAP NIM basis, remember we are closing the First Evanston transaction here. So I don't have the complete clarity yet, in terms of accretion. So once the purchase accounting models are completed, then I can give better sense from a GAAP standpoint, but on the core CM point, I'd say that the flat statement is fair.
Ebrahim Poonawala: Understood. Thanks for taking my questions.
Operator: The next question comes from Terry McEvoy with Stephens.
Terry McEvoy: Good morning. I wondering if you could just help me understand the process of getting or getting out a government-guaranteed NPLs, the timing involved with that, and just optically, as we screen for banks and impacts your NPLs, but I'm trying to understand the process for those gradually coming down once they are resolved?
Alberto Paracchini: So, there's two, I would say, two nuances, generally. And, we have Tim here, so he can jump into answer and answer as well. But, so we have essentially loans - that the vast majority of our loans are loans that we carry the unguaranteed portion and the guaranteed portion has been sold into the secondary market. So if we have a workout situation, obviously, the balance that we are carrying is, let's say, 25% of the unpaid principle balance from the loan, and the 75% has been sold to an investor in the secondary market. So in that case, loan goes bad, the workout happens, the investor in SBA will effectively pay on the guaranty, the investor will get paid, and we basically will wait till liquidation of the collateral to essentially workout the loan. Given that our position on the loan is that of the on unguaranteed piece. When we have loans, where the guaranteed portion has not been sold, and we own the guaranteed, as well as the unguaranteed portion. We have to wait until the liquidation of the collateral and the final resolution with the borrower. And then we can submit the claim to the SBA, which will process the claim and then eventually pay. So we are carrying the balance even though, we have a guaranteed loan or guaranteed portion of it. For the duration of the workout, and then we make essentially the claim on the guaranty and get repaid. So then, for a period of time, you're showing the elevated NPLs as a result of having the both the guaranteed and the unguaranteed portion on your NPLs.
Timothy Hadro: I would just add that the reason we carry, a government-guaranteed loan as a nonperforming loan is that is the principle that is guaranteed, not the interest. And therefore, we had to carry it as a nonperforming loan.
Terry McEvoy: Okay. Thanks, Tim. And then just shifting gears, could you expand on the changes made last quarter that impacted kind of deposit fees, service charges, and whether any of those charges as you transition First Evanston will impact any of the pro forma results that were mentioned when you announced the deal?
Alberto Paracchini: Don't think so, Terry. These are just very favorable changes for consumers in terms of the fee changes that we made. But we don't, we don't anticipate that, that impacts First Evanstons, that differences between the ways it assess fees and ours is not materially different. So we don't anticipate much of a change there.
Terry McEvoy: Just one last question. If the areas of reinvestment coming from the branch related cost savings, would you define them as kind of offences investments or more on the defensive side just given the competitive landscape?
Alberto Paracchini: I think, I think both. I think, I would say generally, making sure that - for example, on the branch network making sure that - we're investing in the upkeep of our branches and modernizing branches that need to be refreshed, as well as in just capabilities, whether that be feature functionality on existing products or new things that we want to do with a particular customer segment or perhaps even on the marketing front. So I think it's a mix of both Terry.
Terry McEvoy: Great. Thank you. Have a nice weekend, everyone.
Alberto Paracchini: Thank you very much, Terry.
Operator: The next question is from Nathan Race with Piper Jaffray.
Nathan Race: Hey, everyone. Good morning.
Alberto Paracchini: Morning, Nate.
Nathan Race: Just one back to the normal discussion from earlier. Alberto just curious to get your updated thoughts on some of what the appetite and pipeline. It looks like the added just lenders going forward. Obviously, you guys have an active year, last year. And you have the addition First Evanston coming on here soon, which will be accretive to your absolute production capabilities. So just curious to get your updated thoughts on where you are seeing opportunities and just the overall level of discussions at this point?
Alberto Paracchini: Yes, Nate, I think, I think we touched on this last quarter a bit. I think given the fact that we were anticipating First Evanston, the First Evanston transaction. And obviously, that we are adding really fantastic talent there, on particularly on the commercial banking side. We were not really going to be as active in pursuing call it the hiring of new lenders with much more do it, much more so on an opportunistic basis. We have seen folks, we have interviewed folks, but we have not, I would say activity for so far this quarter has been muted. We are always looking for talented folks to join the company. So in terms of your questions, it relates to appetite. We always have appetite for talented lenders that have a customer following and are known in the marketplace. But we've been more focused on integrating the folks and making sure that we do a good job integrating customers and the folks, which is really, there is a lot of work still to be done in that end. We're just getting to the first step here of being able to legally close. But I hope that gives you some color. But certainly, in the future as we get past, the integration, definitely continue want to find ways to add talented people to the organization. So as far as the appetite is concerned, we certainly that appetite is still there.
Nathan Race: Understood. And then just kind of changing gears. A little anything about the core loan yield expansion in the quarter. Obviously, you had the December rate hike, which helped, but just curious, when, maybe there is a material change kind of the composition of production this quarter? Or there perhaps some prepayment fees included that perhaps help drive the core loan yield higher this quarter, just given the payoff activity that you guys had?
Lindsay Corby: That's a great question Nate. As I alluded in my comments there it was a very good quarter in terms of loan yield and there was a little bit of one-time noise in there, that I would say it would probably be muted by that 10 basis points, call it, from the loan yield standpoint just given some of that onetime noise in there. We did have some accelerations and going through that normally there.
Alberto Paracchini: But as far as the mix, Nate, the mix was pretty consistent. So no big changes on the mix in terms of the lines. I think as we mentioned earlier, we saw good activity coming from in the conventional C&I book from one of our teams, and certainly, on the government-guaranteed book from that team. So in terms of the other areas, I think those areas are in some ways maybe that for the seasonality impacted a little bit. Rates are backed up here, a bit. One thing that we have seen is customers are much more sensitive now to maybe finally realizing that, hey, and it's a good opportunity to lock in line long-term financing. So inquiries as it pertains to interest rates swaps and things of that sort, we have seen an uptick on that. But as far as overall kind of the mix of the business, I think it's been pretty consistent.
Nathan Race: Got it. That's helpful. If I could just make one last one. Securities portfolio, obviously, you guys be able to bring it down on absolute basis last, through the back half of last year, and obviously, you had some seasonality, so we had deposit flow. So Just curious Lindsay and your expectations in terms of the absolute and relative size of it are both going forward?
Lindsay Corby: Yes, Nate, we want to make sure we have enough liquidity obviously to run the institution in a safe and sound manner. But I think we have a little bit of room there to continue down a bit more. So we are about 21% as a percentage of total assets, we look at the 20 area, high teens, but not much below that.
Alberto Paracchini: I think one thing that has changed in that regard Nate, and I think it goes its tied to the question that we got earlier about our ability to in terms of deposit growth and our ability to grow deposits on a go-forward basis. One thing that has changed is the dynamics are a little different. 18 months ago, you were raising the deposits, and essentially, let's say, we had a very, very short-term view of things, it wasn't really attractive transaction just because of the carry. Now, that's a bit different. What rates being a little higher. So I think I would say we have a willingness too, we have to park money in securities, so that we can continue to be consistent in terms of raising deposits and anticipation of growth. I think we certainly will take advantage of that flexibility.
Nathan Race: Understood. I appreciate all the color, guys. Thank you.
Alberto Paracchini: Thank you.
Operator: [Operator Instructions] Our next question comes from Brian Martin with Fig Partners.
Brian Martin: Hey, good morning.
Alberto Paracchini: Morning, Brian.
Brian Martin: Maybe just back to, I think Nate's question. I was kind of [indiscernible] get just the core margin expansion this quarter. It sounds I guess it sounds like you're comfortable with, I guess with the deposit costs going up. It kind of felt like it was sustainable, but then kind of your, which is my real question, but it sounds like maybe that levels is not sustainable. There were some one timers there. So maybe it's like you said alluded to, it's more than 10 basis point range. So that is not sustainable. And then, do you keep the baseline at the levels that big picture, how to be thinking about it?
Lindsay Corby: It's hard to giving exact number. I would say, I can't really predict in terms of payoffs and recoveries and things that flow in and out of there. Perfectly, we always have some noise there, so, but I would say, we were very happy at that level, it was a good level to be at, as I said going forward, assuming we continue to see the fed raising rates. We do see an uptick in terms of our loan yields because we do have asset-sensitive balance sheet. So it's a balancing act. So I think my comments in terms of a flat outlook is pretty, Brian in terms of modeling. So again, there is a little bit of noise in there. You can make your assessment in terms of throughout a number, and it ebbs and flows every quarter, so…
Brian Martin: And just one question. The out liars this quarter, if there were some, can you just kind of, what are the out liars we kind of think about it is we, if we are going to make a decision, it's a bit better or worse in a given quarter. I guess the biggest impact that could change and need to the volatility?
Lindsay Corby: I would say the biggest impact unknown right now is accretion, right? I would say accretion is something that we are not - we don't have visibility at this point in time.
Brian Martin: Right. I'm just looking at the core numbers. I'm taking out the accretion. So if we were just talking that 4 14 number that was up, I can say the core margin was up a fair amount. I'm just trying to understand where that could be, the volatility in that number could be, why could be down, let's say the 10 basis points. So whatever the number you kind of mentioned earlier, range so.
Alberto Paracchini: Brian, you have from refinances to payoffs so things of that sort, that causes an acceleration in fees that flow through interest income, that fluctuates on a monthly basis, right? And that's dependent on activity. So I think that's primarily it's kind of what you will see.
Brian Martin: Okay. I got you. All right. And then just the last two things. Alberto, maybe just the SBA kind of pipeline, where that stands today? Is that still kind of, has there anything changed recently with that or how is that affecting today?
Alberto Paracchini: As you see, in terms of deck, if you go to Page 7 on the deck. I think there is a really useful, the really useful table there at the bottom on that chart, where you can kind of know this is close loan commitments, but I like the look at kind of the year-over-year comparison. I think that's pretty good. So, pipelines there remain, I think remain good. And I think, in general, obviously, the SBA business as some of the other banks that have released mentioned during their calls, sometime ago there used to ex number of people that were in the SBA business, now there seems to be a lot more people. But we like what we have, we are focused, we are not doing this as an add-on product or as part of our quality tool or a feature that some of our lenders can use, I mean, we have a dedicated team of people that manage and run the business on a basis. So we like our chances, and we think we can compete and compete well there. Remain positive in that regard.
Brian Martin: Okay. And then the last two. On the M&A side, I guess any color you can provide on just the level of discussions today, I certainly know you are interested at the right opportunity came along, but seems like there has been dialogue has been. What's actually come at the bottom line has been a little bit less this year than last year, and active discussions are not. But the level of discussions today versus how they have been the last couple of quarters, has there been any change on that front?
Alberto Paracchini: I think two things on that front. Brian, I think the factor as far as M&A, and I think that goes to my comments during the remarks in terms of remaining constructive. I think the factors are definitely, definitely present. You have the usual factors in terms of folks that are looking, who made investments sometimes ago and are looking potentially to exit those investments, and then the more traditional factors, involving succession planning and institutions that are kind of getting to the point, where are looking for where growth perhaps a little more challenging on a go-forward basis. So those factors are remain, and I think are very much still present. As far as discussions and activity. I would tell you, I haven't seen discussions and call it chatter, I think remains alive and well. Discussions certainly remain, and this sometimes these things are take longer, sometimes they are faster, I mean, I can tell you from experience, in First Evanston, it was a long, long process. We began talking really to and had a relationship with the team there for a long, long time. And over time, we had discussions, we talk and finally, we were able to reach an agreement last year. But to your question about activity levels and discussions et cetera, I think those remain, and it's just a matter of continuing to proceed along in those processes.
Brian Martin: I appreciate the color there. Just a last thing, there is a lot of talk about the loan growth in the payoffs this quarter. I guess, when you think about your outlook to the year Alberto, I guess it's fairly same, your outlook kind of includes some of these payoffs in the numbers. So whatever the 8 to 10 or 10 to 12, whatever your number is as far as the loan growth outlook. I mean when you're kind of talking about your expectations you're assuming that there's going to be some level of payoffs in these numbers. I guess is how to think about, if it's a little bit more, I mean the growth is to touch less, but there is some element in your forecast regardless.
Alberto Paracchini: Of course.
Brian Martin: Yes, okay. All right, I appreciate the color, guys. Thanks,
Alberto Paracchini: You bet, Brian.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Byline's management for any closing remarks.
Alberto Paracchini: Great. Thank you, operator, and thanks for everyone for participating in the call today. Thank you for your interest in Byline. And we look forward to speaking to you again, next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.